Operator: Good morning, and welcome to the Ranpak Holdings Corp. fourth quarter 2025 earnings call. All participants are in a listen-only mode. After the speakers’ remarks, we will conduct a question-and-answer session. To ask a question, you will need to press star followed by 1 on your telephone keypad. As a reminder, this conference call is being recorded. I would now like to turn the call over to Sara Horvath, General Counsel. Please go ahead.
Sara Horvath: Thank you, and good morning, everyone. Before we begin, I would like to remind you that we will discuss forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release and the risk factors identified in our Form 10-K and our other filings with the SEC. Some of the statements and responses to your questions in this conference call may include forward-looking statements that are subject to future events and uncertainties that could cause our actual results to differ materially from these statements. Ranpak Holdings Corp. assumes no obligation and does not intend to update any such forward-looking statements. You should not place undue reliance on these forward-looking statements, all of which speak to the company only as of today. The earnings release we issued this morning and the presentation for today’s call are posted on the investor relations section of our website. A copy of the release has been included in a Form 8-K that we submitted to the SEC before this call. We will also make a replay of this conference call available via webcast on the company website. For financial information that is presented on a non-GAAP basis, we have included reconciliations to the comparable GAAP information. Please refer to the table and slide presentation accompanying today’s earnings release. Lastly, we will be filing our 10-K with the SEC for the period ending December 31, 2025. The 10-K will be available through the SEC or on the investor relations section of our website. With me today, I have Omar Asali, our Chairman and CEO, and Bill Drew, our CFO. Omar will summarize our fourth quarter results and issue our outlook for 2026. Bill will provide additional detail on the financial results before we open up the call for questions. With that, I will turn the call over to Omar.
Omar Asali: Thank you, Sara, and good morning, everyone. Thank you for joining us today. We finished 2025 on a positive note as all geographies experienced volume growth and automation finished the year with a lot of momentum, positioning us well for 2026. Large enterprise accounts in North America continue to be a key driver of performance, both from a top-line and margin perspective. We experienced a very robust e-commerce-led holiday season in North America, particularly in December, following a brief lull during the government shutdown. The e-commerce strength drove volume growth of 5.5% in the quarter and 14.3% for the year in North America. Excluding the impact from warrants, automation was the other bright spot in the quarter as we achieved nearly 40% growth on a constant currency basis and enter 2026 with a strong order book, giving us visibility to what we believe will be our largest growth year yet in that area. With our fourth quarter performance, we hit the lower end of our Adjusted EBITDA guide but did miss the top line slightly due to a continued challenging environment in Europe and a few automation project milestones getting pushed into Q1. Excluding the impact of warrants, automation achieved the goal of being north of $40 million in revenue for the year, resulting in almost 35% growth. 2025 was an important year for Ranpak Holdings Corp. We strengthened our economic relationships with two of the world’s largest e-commerce and retail leaders. These are partnerships that we believe will fuel substantial growth across both our protective and automation business for years to come. We also elevated our position as a leader in automated box customization through a major collaboration with Medline Industries, the largest provider of medical surgical products and supply chain solutions in the U.S. Together, we are providing automation solutions across some of the highest volume operations in the healthcare sector. These achievements validate the years of work and strategy we have been executing toward and set the stage for Ranpak Holdings Corp.’s next era. The world is evolving at an unprecedented pace. With rapid advances in AI and robotics, capabilities that once felt like science fiction are now becoming operational reality. Ranpak Holdings Corp. is well-positioned to lead in this new landscape, one defined by larger, more sophisticated warehouses and logistics networks that must also meet rising expectations for environmental responsibility. Our internal innovations and customer relationships, combined with strategic relationships with cutting-edge leaders like Pickle Robot, give us a unique advantage. We are not just providing packaging; we are delivering end-to-end solutions for goods movement and AI-driven insights that help our customers operate smarter, faster, and more sustainably. More on our results. We experienced another quarter of volume growth, making it 9 out of the past 10 quarters, growing volumes at 3% over a really strong Q4 in 2024, which experienced 12 points of volume growth. It was encouraging to see sequential volume growth in each region and for Europe to experience volume growth for the first time this year. Consolidated net revenue increased 2.2% on a constant currency basis for the quarter, or 4.4% excluding warrants, driven by e-commerce activity in North America and automation achieving its largest revenue quarter ever. 4.8% volume growth for the year and 34.4% growth in automation drove 2025 full year net revenue to increase 5% on a constant currency basis. Our North America business again was the engine that drove top-line performance with sales up 5.8% for the quarter and 14% for the year, driven by more than 20% growth in void fill and 91.7% growth in automation excluding warrants. In the quarter, the distribution channel was less robust, but we did grow mid-single digit for the year and I believe have some momentum in the channel given our new product releases and focused growth and expansion initiatives. Invigorating this channel is key to helping improve our margin profile in the region, and we believe the setup going into 2026 has us positioned to continue to grow here while enhancing margins. In Europe and Asia Pacific, less favorable mix as well as increased rebate activity offset slightly higher PPS volumes and 30% automation growth in the quarter, resulting in a revenue decrease of 1.5% year-over-year on a constant currency basis. Similar to last year, Europe did not experience the same holiday season strength that we saw in the U.S. The environment in Europe seems to be improving from the negative impacts of tariffs we saw earlier in the year. After several years of recession-like conditions across the region, driven by energy price shocks, elevated inflation, and tariff uncertainty, economic fundamentals are stabilizing and the outlook is improving. We will need to see how the recent events in the Middle East unfold as that could have an impact on sentiment in the region. The input cost environment has remained relatively stable and consistent with the trends we saw in the second half of last year. Europe has been somewhat more favorable, driven largely by softer demand while the U.S. experienced tighter pricing through mid-year. Those pressures eased and ultimately leveled off once the paper market disruptions from early in the year were resolved. In Europe, energy market volatility is the unknown at the moment. There was some volatility to start the year as colder than normal winter weather drove a heavier draw in reserves. Even so, Dutch TTF gas was around €30 per megawatt hour prior to the events of the last few days, resulting in pricing in Q1 in line with what we experienced in the second half of the year. On a constant currency basis, Adjusted EBITDA declined 10.3% for the quarter, or just 1.2% when excluding the impact of warrants. For the full year, Adjusted EBITDA was down 8.5% or 2.4% excluding warrants. Our second half performance allowed us to achieve the low end of the revised guidance we communicated in our Q2 results despite the top-line challenges we faced in EMEA. Overall, 2025 proved to be a more difficult year than we anticipated. Many companies shifted priorities, curtailed activity, and took a more cautious stance in response to a rapidly evolving tariff environment. Europe, in particular, appeared to take a meaningful step back as customers there lacked confidence in their forward outlook. Our sequencing and priorities remain clear. First, drive top-line growth to achieve scale. Leverage that scale to unlock operational efficiencies and enhance purchasing power, which will flow through to Adjusted EBITDA as revenue continues to grow. This, in turn, will support deleveraging and ultimately enable us to generate meaningful cash. With that, here is Bill with more info on the quarter.
Bill Drew: Thank you, Omar. In the deck, you will see a summary of some of our key performance indicators. We will also be filing our Form 10-K, which provides further information on Ranpak Holdings Corp.’s operating results. Overall, net revenue for the company in the fourth quarter increased 2.2% year-over-year on a constant currency basis, or an increase of 4.4% excluding the impact of warrants, driven by solid e-commerce volume growth in North America and increased automation sales, bringing full year net revenue up 4.7% on a constant currency basis or 6.1% excluding the $5 million headwind associated with warrants. For the quarter in the Europe and APAC reporting division, combined revenue decreased 1.4% on a constant currency basis as higher PPS volumes and automation sales were offset by higher rebate activity due to the competitive environment in Europe and investment in pricing ahead of local paper source in Asia. On a full year basis, net revenue in the region declined 2.7% on a constant currency basis, primarily due to lower volumes reflecting the choppier operating environment post Liberation Day and higher impact of rebates. Automation grew 14% in the region on an annual basis, exiting the year with good momentum after only being up slightly through the first half of the year. North America lapped 39% volume growth in the prior year and grew volumes 5.5% as relationships with large e-commerce players continued to drive growth. Net revenue for the quarter was up 5.8%, which brought the full year net revenue in the region to growth of 14%. It was another strong year for top-line growth in North America as automation ramps and we continue to grow with e-commerce accounts. Gross profit declined 16% on a constant currency basis in the quarter and would have declined 10.6% excluding the $2.3 million non-cash impact of warrants. Excluding depreciation within COGS and warrants, gross profit would have declined 5% on a constant currency basis due to the mix impact of increased contribution from North America large e-commerce customers and lower industrial activity. For the year, gross profit declined 9% on a constant currency basis and would have declined 5.3% excluding the $5 million non-cash impact of warrants. Excluding depreciation within COGS and the non-cash impact of warrants, gross profit would have declined 4.5% on a constant currency basis due to the mix impact of increased contribution from North America large e-commerce customers and lower industrial activity. We believe gross margins are a real opportunity for us in 2026. With greater scale, we are becoming better buyers of key input costs and have identified a number of key cost-out actions to optimize operations in order to enhance our margin profile. SG&A, excluding RSU expense, was down 2% on a constant currency basis versus prior year. As I shared previously, controlling our spend and leveraging our G&A investments to better absorb our fixed overhead remains a top priority. We have invested more than $20 million in our technology infrastructure since 2022, building a modern cloud-native stack that is AI-ready. We are fast but selective adopters of AI solutions to help us drive productivity and get more efficient in our operations and service. We initially are focused on specific use cases where we can measure the impact and returns, but overall, believe these tools will enable us to extract savings from the business as we grow, helping to improve the overall margin profile of the business in addition to driving more commercial opportunities. At roughly $40 million in sales, automation remained a meaningful drag on our profitability for the year, being a negative $6 million contribution to Adjusted EBITDA. Although we did get to break even on an Adjusted EBITDA basis for the fourth quarter, we are expecting substantial growth in 2026 in automation, which we expect would put us in positive territory for the year on an Adjusted EBITDA basis, which is a critical milestone for us to hit. Although we had PPS volume and automation growth across the organization for the quarter, the gross profit headwinds resulted in an Adjusted EBITDA decline of 10.3% in the quarter on a constant currency basis or down 1.2% excluding the impact of warrants. This brings the full year’s results to down 8.5% on a constant currency basis or down 2.4% excluding the non-cash impact of warrants. Moving to the balance sheet and liquidity. We completed 2025 with a strong liquidity position with a cash balance of $63 million and no drawings in our revolving credit facility, bringing our reported net leverage to 4.4 times on an LTM basis. Our goal remains to achieve between 2.5 times and 3 times leverage, which we believe we can do over the next 18–24 months. Our CapEx for the year was $30.3 million, a reduction of $2.8 million from 2024 and a 45% reduction from the $55 million spent in 2023. We continue to be disciplined in our CapEx spend in order to maximize cash. With that, I will turn it to Omar.
Omar Asali: Thank you, Bill. In closing, we believe the structural forces shaping the packaging and fulfillment landscape continue to strengthen, and we believe Ranpak Holdings Corp. is well positioned to benefit from them. First, the largest e-commerce players are growing faster and consolidating share. We are both economically and strategically aligned with the two most important companies in the space, and we are working closely with them on opportunities that have the potential to reshape Ranpak Holdings Corp.’s scale over the next number of years. We continue to expect more than $1 billion in cumulative revenue from these two relationships over the next 8–10 years, and we are pushing to accelerate that timeline. Second, labor shortages in warehouse environments remain persistent and costly. Wage inflation and high turnover are structural realities. In the U.S., immigration and border policies are also amplifying the labor issue. Our automation portfolio is a direct hedge against these pressures, providing customers with greater stability, less cost, and less variability in their operating model. Third, warehouses and factories are becoming smarter. At Ranpak Holdings Corp., we are assembling an unmatched technology stack combining robotics partnerships, internal hardware innovation, advanced vision systems, AI, and data. The bottlenecks in fulfillment are physical, not digital. Our flywheel of technology and data access allows us to solve these physical world constraints in ways that simply were not possible even a few years ago. The technology is finally ready, and we believe our ecosystem gives us a unique advantage in addressing goods movement and labor challenges at scale. Fourth, while AI and LLMs have advanced rapidly, the physical world still needs to create and move goods. Companies that manufacture differentiated products and eliminate physical bottlenecks will be winners in the years ahead. We believe we have spent the past several years positioning Ranpak Holdings Corp. to be one of those winners. The One Big Beautiful Bill Act in the U.S. is presenting a significant opportunity for businesses to automate and modernize their operations, and the tax incentives are providing further savings and improving ROIs for customers deploying our automation equipment. As we look toward 2026, we enter the year with a more stable operating environment in North America than we saw in 2025 and improving economic outlook. We face difficult comparisons in Q1 due to last year’s paper market disruptions where distributors were restocking. Adverse weather in January and February contributed to a choppy start in North America. Feedback from both distributors and end users point to continued strength as the year progresses and an encouraging outlook. We expect North America performance versus prior year to even out in the second quarter, where we saw less distributor demand last year as a result of restocking in Q1. Europe remains more muted relative to the U.S., but the direction is constructive. Inflation has been moderating. Real wage growth has turned positive as wage increases are outpacing inflation. Unemployment remains at historically low levels. Industrial production and manufacturing sentiment remain below long-term averages, but we are seeing early signs of stabilization. Germany’s renewed commitment to defense investment and broader fiscal support are beginning to show up in the data, creating a foundation for gradual improvement. For the first time in a long time, the outlook there for businesses and consumers seems to be improving. That being said, the war in the Middle East makes the outlook for the world economy and Europe more uncertain. The duration of the conflict, impact on trade routes, and impact on energy pricing, particularly in Europe, could play a role in the way this year unfolds. This week, due to the conflict, Dutch TTF gas has been volatile and remains elevated near the €50 area. Within this environment, we are focusing on things that are in our control and building on our momentum through our differentiated solutions. Enhancements to our commercial organization and stronger cross-selling of automation into larger accounts are enabling us to outperform our peers from a growth perspective. We have tailwinds in automation such as Packaging and Packaging Waste Regulation, or PPWR, in Europe, as companies are preparing to adhere to the regulation requiring them to drastically reduce packaging waste and promote a circular economy, namely minimizing unnecessary packaging and reducing packaging weight and volume. We expect automation to deliver another year of meaningful growth in 2026 as we advance toward our goal of surpassing $100 million in automation revenue. Related to our near-term priorities and guidance, our focus is on driving top-line growth to build scale, improving margins through cost-out initiatives and better buying, accelerating automation and advancing our industrial technology platform, and strengthening cash generation and deleveraging towards a net leverage ratio below three-thirds. For 2026, on a constant currency basis at the current spot rate, we expect net revenue growth of 5%–12.7% and Adjusted EBITDA growth of 5.4%–19.9%. Assuming a spot rate of 1.16 EUR to the U.S. dollar, this implies a net revenue range of $415 million–$445 million and Adjusted EBITDA range of $83.5 million–$95 million. We are anticipating automation revenue growth of 30%–50%, potentially reaching more than $60 million and turning positive from an Adjusted EBITDA perspective. This guidance also reflects a non-cash revenue and Adjusted EBITDA reduction of $5 million–$7 million related to warrant expense recognition. Over the past few days, we adjusted our guidance range to reflect what we are currently seeing out of the Middle East. We previously were expecting double-digit growth in Adjusted EBITDA, but believe it is appropriate to be conservative on the margin and top line in this environment. We believe the lower end of the range reflects our optimism of growth in North America and automation and a potentially less robust and more expensive environment in Europe if the war persists. In terms of PPS, we expect low- to high-single-digit volume growth in PPS, building on the momentum of 2025 while recognizing a tough comparison in Q1 of 2025, which we expect to improve throughout the year. Thank you again for your time and continued support. With that, we would like to open the line for questions. Operator?
Operator: As a reminder, to ask a question, please press star followed by the number 1 on your telephone keypad. To withdraw any questions, press star 1 again. We will pause for just a moment to compile the Q&A roster. Our first question comes from Ghansham Panjabi from Baird. Please go ahead. Your line is open.
Ghansham Panjabi: Hey, guys. Good morning.
Omar Asali: Good morning, Ghansham.
Ghansham Panjabi: Morning, Omar. First off, can you give us a sense as to the PPS volume outlook that is embedded in your guidance for 2026? If you could also do that by region, Omar. I know there is a lot going on with some of the things you mentioned in Europe and also the political situation, et cetera. Just what do you have embedded at this point?
Omar Asali: Sure. Maybe I will just give some high-level color and then have Bill give you a bit more detail. We continue to do really well with enterprise accounts for PPS in North America. We are working hard with our distribution channel as well to really ramp up volume. My expectation is that you will see meaningful growth in the U.S., maybe high single-digit to double-digit, and continue to drive volume around that in North America. Europe, Ghansham, honestly, is a bit harder. If you asked me five, six days ago before the events in the Middle East, we felt we were turning the corner in Q4. We were showing some good signs, we felt we were entering the year with potentially some, let us call it, modest momentum to show volume growth. Right now, that is a bit more unknown, and I think it may depend a little bit on the duration of the conflict. In APAC, we are investing heavily in localization and local sourcing of paper, and we think that is going to drive quite a bit of volume. That is the high level in terms of how we are thinking about PPS volume growth. I will have Bill chime in maybe with more specifics.
Bill Drew: Ghansham, I think Omar covered it right. In North America, we think that there is good potential to grow mid-to-high single-digit, maybe a little bit more than that, depending on some of our initiatives with some of our large customers here. In EMEA, we ran a number of different scenarios, and I think with the low end of the guide, we are assuming that will be down slightly, and then on the higher end, up mid-single digits if we get a resolution quicker than we are expecting. I think overall, we are looking at a range of low- to high-single-digit on the PPS business for 2026. Automation, we are expecting some pretty meaningful growth there, call it 3–5 points worth of growth just based on what we are seeing there and also just the order book that we came into the year with.
Ghansham Panjabi: Perfect. Then on PPS, as it relates to your assumption, what percent of that is specific to the customer initiatives that you have with Walmart and Amazon?
Omar Asali: Both of these accounts, Ghansham, we think are going to drive meaningful growth. Remember, part of the transactions we have include automation equipment, and in 2026 with some of the accounts you mentioned, equipment may drive more of the PPS piece because of just the installment and deployment schedule, if you will. As we put this equipment throughout the year, then that equipment will be consuming the consumables as the year progresses. In terms of just the consumable piece, we think both of these accounts will be double-digit growers for us. We think it is going to be a pretty important driver for us. Frankly, that is part of our excitement, not just for 2026, but as we look for outer years as well. We believe there is tremendous volume activity that we think we can drive with these two relationships.
Ghansham Panjabi: Got it. Maybe I will ask my last two questions together. The 30%–50% growth that you are targeting for automation in 2026, just curious as to your backlog specific to that. Just trying to get a sense as to the visibility specific to those numbers. Second, Bill, in terms of free cash flow, how are you thinking about drop-down free cash flow relative to the midpoint of your EBITDA guidance, net of CapEx and interest and so on?
Omar Asali: I will take the first one. As Bill said, we enter 2026 with our best backlog ever. We continue to see tremendous activity, frankly, in the U.S. and in Europe around our automation business. Our strategic relationships, again, that you touched on, Ghansham, are driving also a big part of that. Our confidence in surpassing the lower end of that number, the 30%, is pretty high. We believe that we are on our way to hit potentially $60 million or more in revenue in 2026, again, assuming no surprises from a macro environment. Frankly, our pipeline as we speak this year, our backlog is increasing as well, and part of the help we are getting is from some of the tax changes in the U.S., part of it is around labor. Honestly, I feel great about our automation story. I feel great about how it is progressing. I think the $100 million goal is becoming closer and closer in our mind as reality, and I think the team is executing and our products, by the way, are getting great feedback from some of the most demanding customers that we have mentioned, whether it is people like Medline in healthcare or others. We feel really good about that as a growth driver, Ghansham.
Ghansham Panjabi: Bill?
Bill Drew: Yep. As far as the free cash flow question goes, if you take the midpoint of the guide, Ghansham, at $83.5 million–$95 million, call it $89 million at the midpoint, that is being burdened by a good $6 million–$7 million of warrant expense, which are non-cash; you add that on top. We are expecting to spend roughly, call it, $37.5 million or so in CapEx, could be less. We have been pretty disciplined over the past few years in that. We will continue to be disciplined. Cash interest we expect to be about $34 million. Cash taxes about $3 million–$4 million this year. We are expecting a use of working cap this year, just based on some of the initiatives that we have with larger customers where we carry a little bit more inventory, so call that about $5 million, which, if you take all those together, gets you to about $15 million in free cash for the year.
Ghansham Panjabi: Okay. Very helpful. Thanks so much.
Omar Asali: Thank you.
Operator: Our next question comes from Greg Palm from Craig-Hallum. Please go ahead, your line is open.
Greg Palm: Yeah, thanks. Just going back to the Q4 results specifically on revenue. I mean, it seems like the operating environment was fairly stable, and I know you talked about or mentioned better e-com facility around the holiday season. Was the revenue miss mostly due to some automation stuff shifting to the right? I know you mentioned there was, I think, a couple of projects, but maybe just give us a little bit more color.
Omar Asali: Yeah. Sure, Greg. I think a couple of things. One, yes, in automation it is very tough to be very precise in terms of which quarter things would happen. Sometimes there is slippage. It has got nothing to do with us; sometimes it has to do with us and our schedule of building and deploying, as you know, just given the nature of the business. Part of it is a few things that slipped from Q4. The other part of it, honestly, Greg, is industrial activity was not at the level that we liked. E-commerce was certainly strong, but e-commerce came in very, very heavy in December, I think in the U.S. in particular. There were some periods in November where we saw a little bit of softness, around government shutdown, et cetera, and then the recovery was very strong. Some of that impacted us, but overall we were very happy with e-commerce activity. I think industrial activity, we would like to see a pickup in that, and I think that could help us both from a volume standpoint as well as frankly a margin standpoint.
Greg Palm: Yep. Okay. Your comments on Q1 specifically, I was not sure how to interpret those. Should we assume revenue is more flattish on a year-over-year basis? Versus, call it, the high single-digit growth for the year at the midpoint. I think that would imply double-digit growth for the remainder of the year. It would be great just to get a little bit more color on how you are thinking about the cadence this year.
Omar Asali: I think the cadence that you are highlighting is correct. Normally at Ranpak Holdings Corp., as you know, Greg, the second half of the year is stronger than the first half. That is just the nature of our business. As we are building backlog, pipeline, et cetera, and as we are building files in PPS. The second piece, honestly, is typically, again, in normal environment, Q2 is stronger than Q1, Q4 is stronger than Q3. We are expecting the year to play out that way. We have a bit of a tough comp given paper disruptions and some dislocations from 2024. That is the piece that I was just trying to highlight. I think what you highlighted as a cadence is correct. From where we sit, again, honestly, we were going to give a very different guide five, six days ago, but the recent events caused us to just lower some numbers a little bit to be cautious. Not that we have a crystal ball around the war. We do not know where the war is headed. We do not know how long it will last. We do not know when and if the escalation happens. All these things are unknown to us, just like they are unknown to the world. We felt the prudent thing is to be a little bit more conservative in our guidance. What you highlight and the strength that we see and the double-digit growth as the year progresses, that is our base case expectation. The numbers that we highlighted, Greg, reflect some conservatism around the war to the best of our ability, if you will.
Greg Palm: Okay. Yep, that makes sense. Specific on what is going on in the Middle East, in terms of the guide, how would you take into account, for instance, natural gas prices and the potential headwind from input costs over there?
Omar Asali: Sure. Obviously, as you have seen, Dutch TTF gas has gone up quite a bit in the last few days and continues to be at elevated levels. We have a number of partners and mills that we work with that are not dependent on that. That is the good news, whether it is renewable or other sources. We also have a number of folks that have hedged some of the exposure, but not all of it. I think the exposure that we have is on the recycled piece, the recycled paper that we buy. That is the piece that has the exposure and is less than 50% of our total buy. That is where we have some exposure from a cost standpoint that we are monitoring closely. I do not think the numbers at the end of the day—and Bill and I have looked at them and ran some sensitivities—I do not think they are going to be huge at these levels. They clearly are not going to be positive. They will have a negative impact, but they are not going to be huge. To be honest, Greg, what is on our mind a bit more is what does that do from a demand standpoint in Europe when energy is elevated and when you start seeing CEOs of industrial companies and e-commerce consumers and so on just get a little bit more cautious. That is the piece that we are monitoring. We do not have a great answer on it right now because it just happened in the last few days. I think the demand piece is the piece that could have a bigger impact. I feel from a cost standpoint on the Dutch TTF gas, yes, we have some exposure, but I think it is under control.
Greg Palm: Yep. Okay. I guess last one for me, how do you think about unlocking shareholder value? I mean, you think about what happened in 2025. You made a lot of important steps. You won some meaningful business that is just getting started. Given where the stock is, the value of the PPS business, automation, your Pickle ownership, maybe you could just give us some thoughts on how you expect to unlock some of that value over time.
Omar Asali: Yeah, sure. Look, I will be the first to say 2025 did not play out the way we expected. We entered 2025 thinking we are going to structure two important transactions for us with two large customers, and that will be the beginning of starting to unlock shareholder value. Obviously, through a whole host of things, including, frankly, tariffs, the year did not play out as expected. I would say the best way I think about unlocking shareholder value from here, Greg, is to the comment I said a few months ago that we believe we can double the top line of this business and really drive significant growth in EBITDA. I think the best way to describe that is what is the bridge to doing that? I think our largest two customers—we have said that they could deliver more than $1 billion in revenue in the next 8–10 years. We think in the next few years, we are working with them on a number of projects to accelerate some of their spend and some of their buying from us. We think these two large relationships are going to drive a very big chunk of the growth toward that bridge to $800 million in total in the next number of years. We think the switch from plastic to paper, in particular in the U.S. with large enterprise accounts, with other accounts that we are working with our distribution channel and some of the efforts there, is going to drive some real volume growth. We think localizing in Asia-Pacific and becoming more competitive from a pricing standpoint is going to drive significant growth there and rerate our business at that level. We have a number of new initiatives that we have been working on the last couple of years that we think will materialize from a revenue standpoint, things like cold chain and things like new product developments that we are working on. Frankly, last but not least, the most important piece. We think automation is a grower of 30%–50% in the next number of years per year. You run basic math, my confidence in now surpassing the $100 million is quite high, and that is going to be a pretty big bridge towards also helping us grow into that $800 million. You put these building blocks together, we think that is what is going to rerate the company. As we execute on these endeavors, Greg, we think that will be driving shareholder value.
Greg Palm: By the way, just given Amazon’s—you talked about the plastic to paper switch. Given what Amazon has done, what Walmart is doing, have you noticed any other major behavioral changes in the market in the U.S. specifically?
Omar Asali: We are, and this is a big part of our wins in enterprise accounts, and this is a big part of our discussions with accounts in 2026 that we think can drive growth. It is very hard to give you an exact timeline of when that switch is going to happen with some of these accounts. We absolutely feel it like a tailwind that there are more and more large enterprise accounts that want to switch to that substrate. I think the consumer has spoken, and the consumer wants less single-use plastic. I think that is going to play a factor in terms of our growth. Yes, we are seeing that. Obviously, we are not going to talk account by account on those names. Walmart and Amazon are unique. They are unique in their size, they are unique now in their relationship with us. I think that trend is a bit broader. The timing is the piece that is a bit harder. Frankly, Greg, not only is that trend happening and helping us, but the protective packaging space is consolidating. There are different transactions that, some were announced and others that people are working on. The table is changing, and we believe both from a substrate standpoint and a strategic standpoint, we are well-positioned to drive growth and drive shareholder value as you discussed.
Greg Palm: Okay. Best of luck. Thanks.
Omar Asali: Thank you.
Operator: We have no further questions. I would like to turn the call back to Bill Drew for closing remarks.
Bill Drew: Thank you, Julianne, and thank you all for joining us today. We look forward to speaking again following Q1.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.